Operator: Good day, ladies and gentlemen, and welcome to the Q1 2012 Medical Properties Trust Earnings Conference Call. My name is Ian[ph], I will be your operator for today. At this time, all participants are in a listen-only mode and will conduct a question-and-answer session towards the end of the conference. (Operator Instructions) As a reminder, this call is being recorded for replay purposes. I would now like to hand over to Mr. Charles Lambert, he is the Managing Director for Capital Markets, please proceed sir.
Charles Lambert: Good morning. Welcome to the Medical Properties Trust conference call to discuss our first quarter 2012 financial results. With me today are Edward K. Aldag, Jr., Chairman, President and Chief Executive Officer of the company and Steven Hamner, Executive Vice President and Chief Financial Officer. Our press release was distributed this morning and furnished on Form 8-K with the Securities and Exchange Commission. If you did not receive a copy, it is available on our website at www.medicalpropertiestrust.com in the Investor Relations section. Additionally, we are hosting a live webcast of today’s call, which you can access in that same section. During the course of this call, we will make projections and certain other statements that may be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to known and unknown risks, uncertainties and other factors that may cause our financial results and future events to differ materially from those expressed and/or underlying such forward-looking statements. We refer you to the company’s report filed with the Securities and Exchange Commission for a discussion of the factors that could cause the company’s actual results or future events to differ materially from those expressed in this call. The information being provided today is as of this date only and except as required by Federal Securities Laws, the company does not undertake the duty to update any such information. In addition, during the course of this conference call, we will describe certain non-GAAP financial measures, which should be considered in addition to and not in lieu of comparable GAAP financial measures. Please note that in our press release, Medical Properties Trust has reconciled all non-GAAP financial measures to the most directly comparable GAAP measures in accordance with Reg G requirements. You can also refer to our website at www.medicalpropertiestrust.com for the most directly comparable financial measures and related reconciliations. I will now turn the call over to our Chief Executive Officer Ed Aldag.
Edward K. Aldag, Jr.: Thanks Charles and good morning everyone. In just a few minutes, I will turn the call over to Steve to review the details of our quarterly results. He will also provide you with updated guidance for 2012, which will speak to our strong expectations for FFO per share in 2012 both supported by our recent Ernest transaction at approximately 300 million of additional 2012 investments, which we believe a 100 million is imminent. Quickly, I want to note that we are updating on how we are providing guidance, in an effort to provide investors with a more subsequent picture of our outlook. Going forward, we will provide FFO per share guidance on a calendar year basis. We will also be providing you with our expectations for the run-rate FFO per share at December the 31st, 2012 and plan to provide 2013 calendar year, as we are closer to the end of 2012. I want to spend some time reviewing the strong performance of our portfolio and why we believe our strategy and operational excellence positions MPT for predictable and continued successes. For the past few years while our country and the rest of the world have experienced the most challenging economic environment in decades, the MPT portfolio has thrived. Our EBITDAR lease coverage ratios have grown from 3.2 times at the end of 2006 to more than 5.5 times today. And our facilities have achieved improved performance across the board. It is worth noting that hospitals continue to have higher average lease coverages than other healthcare facilities. Part of the reason for our success is our ability to selectively invest in the highest quality operators. As we have discussed with you in the past, our knowledge of hospital operative market is a distinguishing characteristic of MPT. One that is a key underpinning of our proprietary growth strategy and a unique ingredient of our outperformance. As further proof of hospital’s strong predicted performance, let us look at the three of the country’s largest four private hospital operators. While their admissions and adjusted admissions per bed have been relatively flat from 2007 through 2011. Their EBIDTA per bed has grown dramatically and is up 22%, 91% and 105%. We continue to believe that the hospital industry is a great industry to be in during the tough times and the good times. And then our expertise positions MPT to benefit from these fundamentals. As we all know the demographic trends in this country are going to support continued demand for hospital services. We will always need a healthcare delivery system. It is our core belief that hospitals will remain the hub of our healthcare industry and high quality hospitals will lead the charge toward improving patient outcomes, driving down length of stay, and reducing overall healthcare cost. We believe that our diversified portfolio across the entire healthcare spectrum from acute care to post acute care positions MPT and our shareholders to benefit from the growth opportunities supported by these market dynamics. MPT is the largest REIT investor in hospital properties. And our management team has a long history of driving industry leading financial results. Giving the outperformance of our existing portfolio, our market leading position and a low level of REIT ownership within the hospital sector, coupled with our recent acquisitions and strong pipeline, we believe we are well positioned for continued success. We have also significantly improved our balance sheet and continued to manage this asset to support our growth initiatives. Our current net debt to asset ratio was 40.3%, our average debt tenure is 7.8 years and our percent of floating debt is only 11%. We have continued to extend our debt maturities and we have a proven track record of successfully and prudently accessing the capital markets to fund growth. So, now let me take a few minutes to provide you with some color on how we achieved our success and why we expect to continue our positive growth trajectory. Our focus strategy to invest in high quality hospital operators diversify our portfolio and drive FFO growth through dynamic acquisitions continues to drive positive results. With our recent acquisition of Ernest Health, we continue to execute on this strategy resulting in continued tenant and property mix diversification and an expanded geographic footprint. In addition, Ernest also significantly accelerated our strategy to invest in operating assets under the RIDEA structure. Ernest is our largest operating RIDEA asset. Let me quickly walk you through our six original RIDEA investments. As you know these investments, not including the Ernest transaction, totalled approximately $10 million. We began realizing return on these investments last year. For 2012, we expect the return on our 10 million RIDEA investment to exceed 35%. As Steve will outline, this is reflected in our guidance for 2012. For Ernest the RIDEA portion of the investment is close to a $100 million. We expect the return on that portion of the investment to be 15% for the next couple of years and to grow from there. This expected return is also included in our 2012 guidance. We believe that smart RIDEA investments can provide long term upside opportunities. Speaking of Ernest, as you know we acquired this portfolio of 16 hospitals, 8 IRFs, and 8 LTACH on February the 29th. Ernest finished the first quarter approximately 4% ahead of their first quarter 2012 budget. The $300 million real estate portion which includes the $100 million in mortgages, EBIDTAR on lease coverage for the first two quarters was two times. Since the close of the transaction, we have already moved forward with an agreement to fund the development of a 40 bed IRF for Ernest in Lafayette, Indiana for around $15 million. Let us turn quickly to the operational performance of our tenants during the quarter. Over the years our practice has been to provide an apples-to-apples comparison for EBITDAR lease coverage of our portfolio properties that we have owned for at least 12 months. We have historically provided the coverage on a trailing 12 month year-over-year basis and a trailing 12 month quarter-over-quarter basis. For our acute care hospitals EBIDTAR lease coverage for 2010 included a higher than normal payment that covered a period of more than 12 months that was made by the State of California to hospitals in California. While the payment for 2011 was for a period of less than 12 months. We believe the more normalized amount is somewhere in between these two numbers. Remember our reports from our properties lag our quarterly reports and we therefore report property coverage one month behind our actual quarterly report. The year-over-year comparison for the acute care hospital EBIDTAR coverage was 7.2 times for Q1 2012 compared with 7.8 times Q1 2011. For our LTACHs the coverage climbed year-over-year from 2.4 times to 2.62 times. And the IRFs year-over-year coverage remained consistent at 3.3 times this strong performance lead to an overall coverage north of 5.5 times. The quarter-over-quarter results for all three divisions were essentially flat. Another very important leading indicator of operational results, for our facilities historically been utilization. Our acute care hospitals reported their utilization in the first quarter improved 5.7% sequentially compared with the fourth quarter. In fact, only two of our acute care hospital saw decreases and these were very slight. Our LTACHs reported an increase in utilization of 3.7% and our IRFs reported an increase of 5.9%. Year after year our tenants which count among the nation’s best hospitals had demonstrated the ability to improve their EBIDTA levels per bed. Our same-store lease coverage ratios have improved dramatically throughout the years which has provided MPT the very best coverage in the industry. We are pleased with the momentum we have already built, so early in 2012 and we are confident about our future. While Steve will go through our 2012 and our run-rate at December 31, 2012 guidance in more detail, let me point out that we believe we continue to build on our track record and that we should achieve an FFO payout ratio of less than 80% on a run-rate basis by the end of this year. We remain confident that we are executing the right strategy for long term success. We have one of the strongest balance sheets in our industry, our existing portfolio continues to shine above all rates, our pipeline of opportunities is substantial and our RIDEA related investment strategy is producing successful results. We believe, we are very well positioned for future success. At this time, I would like to turn the call over to Steve to walk you through the financials in a little more detail.
Steven Hamner: Thank you Ed. For the first quarter of 2012, we reported normalized FFO of approximately $22.5 million and adjusted FFO of approximately $23.2 million or $0.18 and $0.19 per diluted share, respectively. As a reminder, we make certain adjustments to normalize FFO and in the first quarter these included approximately $3.4 million in cost incurred to make acquisitions. The great majority of which related to the $400 million Ernest transaction. Net income for the quarter ended March, 31 was $10.6 million about $0.08 per share compared to net income of $10.8 million or $0.09 per share for the year ago period. We have previously disclosed the debt and equity transactions that we completed during the quarter that were related to the Ernest transaction. The effects of these and other financial metrics are presented in our financial statements and our earnings supplement that was posted to our website this morning, with further details available in the 10-Q that will be filed later today. And of course, we will be happy to take any questions about those at the end of our prepared comments. We have also previously described the first quarter acquisition of our Ernest investments, so I will not go through those in details unless there are questions. In addition, during the quarter we placed into service and began collecting and recognizing lease revenue on our Florence, Arizona acute care hospital. This facility is expected to add approximately $0.02 per share on an annualized basis. In the past, we have provided guidance based on an estimate of future results of operations based thoroughly on our in place portfolio, with no provision for the effects of possible acquisitions. Beginning this quarter, we will provide current fiscal year estimates based on our expectations of all activity during the year, including acquisitions, and earnings from our investments, and tenant operations. For the year ending December 31, 2012 we expect normalized FFO to be approximately $0.85 per diluted share. In arriving at this estimate, we took into account our portfolio as of March, 31. Second quarter estimated acquisitions of a $100 million which we believe are imminent. Placement into service of our three Emerus, emergency hospitals during the fourth quarter, approximately $200 million of fourth quarter acquisitions, and approximately $3 million of revenue from our non-Ernest operating investments, that represents about 30% annualized return on these investments. We also include approximately $11.7 million in earnings from our investment in Ernest operations, which represents an approximate 15% annualized return. Importantly, going into 2013 the run-rate for this portfolio is estimated to be approximately $1.06, which would result in a dividend payout ratio of approximately 75%. This 2013 estimate reflects only our projected December, 31 assets. As we continue to make accretive acquisitions, we expect our 2013 results will improve even further. Also going into 2013, our debt would represent approximately 49% of our total assets and we would have revolver debt of approximately $210 million. Our other debt and equity is expect to be unchanged from March, 31. These estimates do not include the effects, if any, of debt refinancing cost, real estate operating cost, interest rate swaps, write-offs of straight line rent, or other non-recurring or unplanned transactions. In addition, this estimate will change, if market interest rates change. Debt if refinanced, additional debt is incurred, assets are sold, other operating expenses vary, income from investments and tenant operations vary from expectations or existing leases do not perform in accordance with their terms. Let me take just a moment to describe how we estimate our income from tenant operations, our so-called RIDEA investments. Beginning in 2010 and through today, we have made investments in our tenants approximating $107 million, of which $97 million relates to Ernest. The remaining $10 million represents investments in six separate operating companies, all of which have demonstrated profitability sufficient to allow us to estimate the amount we expect to earn for the remainder of 2012 and 2013. We will recognize these earnings only as they occur not based on our estimates. We believe these operators should generate returns to us of between 30% and 40% on an annualized basis. The Ernest facilities and operators were of course strongly profitable even prior to our acquisitions. Based on their historical performance, their first quarter results, and giving no credit for operations from future facilities, we have estimated that we will earn an annualized return of approximately 15% on our total investment of $97 million during 2012 and 2013. As new Ernest properties come online and as future profitability is demonstrated, we will adjust our estimates as appropriate. With that, I will turn the call back to the operator and we are prepared to take your questions.
Operator: (Operator Instructions) And our first question comes from Tayo Okusanya from Jefferies. Please go ahead, you are in the call.
Tayo Okusanya – Jefferies: Yes, good morning everyone.
Edward K. Aldag, Jr. : Good morning, Tayo.
Tayo Okusanya – Jefferies: Couple of questions, I just wanted to make sure I understand 2012 guidance correctly. The $11.7 million in earnings in guidance from Ernest, does that also include the interest income you expect to earn on the loan to the operating company?
Edward K. Aldag, Jr. : Yes, it does.
Tayo Okusanya – Jefferies: Okay. So, I guess, now I understand what that number is. And then when I look at the guidance of $0.85, and I compare to a year ago or so, when we are kind of talking about what 2012 could look like, the idea was always once you guys had put all of your liquidity to work, you would end up in a range somewhere in the mid-90s, we will kind of come out roughly at about $0.85 now for 2012, and you have put all that prior liquidity to work with the Ernest deal. Just kind of curious what the differences are between that initial target and kind of where we ended up in the year, if you could reconcile those two numbers?
Edward K. Aldag, Jr. : Remember, we are putting this liquidity to work during the year. Ernest didn’t come on until March 1. The next $100 million we expect will be in the second quarter, and then, another $200 million in the fourth quarter. So, by the fourth quarter, we will actually be on a run rate basically of roughly $0.26 to $0.28, and I think that does get you way above that mid-90s estimate that we provided several quarters ago.
Steven Hamner: And Tayo, I think part of what you are leaving out as well is the offering that we did just recently in conjunction with the Ernest transaction, we still have approximately $400 million in liquidity to put to work.
Tayo Okusanya – Jefferies: Okay. Got it, okay. And then the additional $400 million or so of liquidity that you are going to be putting to work, the $100 million in second quarter, and then the $200 million in fourth quarter, could you talk a little bit about just what those deals are, the probability of those deals closing or were there just something in the pipeline you are still working on? And then, also if the 2013 run rate of $1.06 includes permanent financing for those two big chunks of acquisitions you are going to be doing in the back half of this year?
Edward K. Aldag, Jr.: Yes, Tayo, on the $300 million, the $100 million we believe is very eminent. Obviously the deal that we are working on, it will look just like the rest of our portfolio. It won’t be any surprises there. The other $200 million again does look obviously further down the line, because of the timing that we expect it to be, but it too is our traditional property types that we working on.
Tayo Okusanya – Jefferies: Okay. And are you using any permanent financing for that deal in your 2013 numbers, or is just the run rate with that deal kind of sitting on the line of credit.
 :
Steven Hamner : That’s right. The latter, Tayo. We have not turned out the line of credit for the $200 million deal.
Tayo Okusanya – Jefferies: Got it. That’s helpful. Anything new on River Oaks and Monroe? Could you give us updates on those two assets?
Edward K. Aldag, Jr. : Yes, there is. On River Oaks, we have signed a lease with the lead tenant there, and the construction is progressing well. And usually takes up approximately 30% of the total space. And then, on Monroe, it continues to perform well. We continue to have a good amount of interest, folks knocking our door wanting to acquire the facility, but there is no additional things to report at that point.
Tayo Okusanya – Jefferies: Okay. And Monroe, are you getting rents from it, yet?
Edward K. Aldag, Jr.: We are accruing rents.
Tayo Okusanya – Jefferies: Okay, you are accruing rents, okay. Got it. All right. I am done. Thank you.
Edward K. Aldag, Jr. : Thanks Tayo.
Operator:
.:
Daniel Bernstein – Stifel Nicolaus: Good morning, gentlemen. I just had a question on the Kindred leases. When do those expire? It looks like in your supplemental, that’s pretty far off perhaps that I just want to make sure I understood. And then, are you looking at any of the LTACHs and Ventas maybe marketing at this point?
Edward K. Aldag, Jr. : Dan, the Kindred leases that we have, remember that they were acquired through the Triumph and RehabCare acquisitions. So, the remaining term on those are pretty far out, seven to 10 years – actually more than that. And then, the second part of your question was, we are looking at the Ventas properties, no, we have not other than just looking at them very briefly, we have not done anything serious with them.
Daniel Bernstein – Stifel Nicolaus: Okay. And maybe, more of a housekeeping question here. Do you have an idea what the straight-line rents are going to be this year, assuming there is timing with the Ernest acquisition? I just want to make sure we were thinking about the right number.\.
Edward K. Aldag, Jr. : Yes, what you see this quarter is kind of what you are going to get based on that, about $1.4 million.
Daniel Bernstein – Stifel Nicolaus: And I guess the other question I had was on the 15% return you are talking about, if I recall correctly from last earnings call, a portion of that is non-cash. Is that still going to be the case or I guess there were some minimum payments that had to be done in cash, but what portion of that 15% return is going to be cash this year?
Edward K. Aldag, Jr.: Dan, we actually expect that it all will be. Remember the way the structure, we get a preferred return that staggers up to the 15%. And it takes, I think, three years to get to that point.
Daniel Bernstein – Stifel Nicolaus: But you expect all of it to be in cash based?
Edward K. Aldag, Jr. : And all of it in 2013, most of it in 2012.
Daniel Bernstein – Stifel Nicolaus: Okay. I think I am good. Thank you.
Operator: Thank you. We have another question for you. And this question is from the line of Karin Ford with KeyBanc Capital Markets. Please go ahead, Karin.
Karin Ford – KeyBanc Capital Markets: Hi, good morning. Wanted to ask Tayo’s guidance question maybe a little differently. I think on the fourth quarter call, you had said that following the Ernest acquisition, you were expecting the FFO run rate to be $0.91 to $0.95. And could you just reconcile what changes are incorporated between that range and the $0.85? I assume it’s the acquisitions, the operating income that’s now in there, the bond issuance, is there anything else that accounts for the differential there?
Edward K. Aldag, Jr.: Karin, on a run rate basis, you are comparing it not to the $0.85, you need to compare it to the $1.06.
Karin Ford – KeyBanc Capital Markets: Okay.
Steven Hamner: Remember, the fourth quarter was a run rate, that was a full year, and what we are guiding here is for 2012, which starts with this quarter’s $0.18 and then builds to that $0.25 in the fourth quarter to sum to the $0.85.
Karin Ford – KeyBanc Capital Markets: Okay. So, the fact that the Ernest acquisition didn’t close to the end of March, is part of that GAAP, and then the bond issuance is part of the GAAP, too.
Edward K. Aldag, Jr. : Karin, you are going backwards. You got to compare to the $1.06 number, not to the $0.85 number. It didn’t go backwards, it went up.
Karin Ford – KeyBanc Capital Markets: Okay. I will put you guys offline on that. Just another question on the $1.06, just to be clear, that assumes that the $300 million that you are doing for the balance of this year is financed on your line, correct?
Edward K. Aldag, Jr. : That’s right.
Karin Ford – KeyBanc Capital Markets: Okay. And then, appreciate the color on how Ernest is performing so far, can you give us a fixed charge coverage on the Opco [ph] investment, as well as, I know you gave us the coverage for the real estate.
Edward K. Aldag, Jr.: It’s not a coverage question, Karin, because we essentially get 80% of the cash flow. So, whenever the cash flow is or whenever the earnings are, we get 80%, is essentially the equation.
Karin Ford – KeyBanc Capital Markets: Okay. How can you help us sort of model what that cash flow growth is going to be overtime? Can you give us some operating metrics or things like that at Ernest to help us be able to predict what that’s going to be going forward?
Edward K. Aldag, Jr. : As we said earlier, we expect over the next two years that we will collect 15% on our $100 million investment there for the next two years, and then it will grow from that point as those properties continue to – the existing portfolio continues to improve, and more so from the addition of the additional properties, like the one in Lafayette that we are financing.
Karin Ford – KeyBanc Capital Markets: Okay. Final question is on the new development, can you give us an expected yield on that and when we should expect to see rent start to flow there?
Edward K. Aldag, Jr. : Well, again, we have not, in several years, given specific returns. This will be right down the fairway with what we have guided, which is 9.5% to 11%. The completion would be about 12 months. So, probably second quarter of ’13 is when we would expect revenue from that facility.
Karin Ford – KeyBanc Capital Markets: Okay. Thanks.
Operator:
 :
Frank Morgan – RBC Capital Markets: Good morning. I was curious what your operators, has been there assessment on the proposed rule for LTACH payment. It seems like that’s better than what most people expected, but I was wondering if you could give us any color on what their view on the rule is and its impact on their business prospects and on coverage, and maybe also any comments on the outlook for IRFs? Thanks.
Edward K. Aldag, Jr. : Well, Frank, I think if you will remember the conversation that we had, while it may be different than everybody else thought, it’s right in line with what we had thought it was going to be. I think all of our operators are obviously pleased with it compared to what some of the analysts were concerned about. I think most of our operators, if not all of them thought that the analysts’ concerns were overdone. So, while they are certainly happy that it’s not what the analysts were projecting, I think that their expectations were much more in line with what our expectations were. From the rest of the rules, as we have said previously, the 25% rule, we have very nominal negative effect from that going forward even with the potential glitch as the extension of the moratorium was written that only affects four of our properties and on a very nominal basis there. And then I think the other part of your question was what are our expectations about the IRFs. And those continued to be very strong, very strong obviously is a positive increase as opposed to a negative increase. So, we feel good about all three sectors of our hospital portfolio.
Frank Morgan – RBC Capital Markets: I got you. And I am just curious about, one, the stock doesn’t seem to have reacted more positively. I mean, with a conceptually better operating environment for some of your customers like LTACHs and IRFs, do you have any theories on why it hasn't responded more because I agree with you. I think the rule for LTACHs and IRFs are better, incrementally better. So, I am just, do you have any theories on why the stock hasn't responded more favorably to what most people would believe is good news?
Edward K. Aldag, Jr.: Frank, if you go back and look at when the rules came out, it responded very favorably. I think we were up in the day – the day after that ruling came out or shortly thereafter close to $0.30 to $0.40 that day. That traded back down, so it was only up about $0.10 that day. I think there is an awful lot of inter day [ph] profit-taking going on. And then you have had the overall market aspects, and then I think people are kind of in a wait-and-see from this particular call. It is clear from some of the questions that we had earlier this morning about our guidance that it's been confusing for people the way our guidance has been giving in the past, but this is an increase in what our expectations have been, and we have just got to do a better job of being sure that people understand that.
Frank Morgan – RBC Capital Markets: Okay. That’s fair, thanks.
Operator: Thank you for your question. We have another question. This one is from the line of Todd Stender, Wells Fargo Securities. Please go ahead, Todd.
Todd Stender – Wells Fargo Securities: Hi, guys. Thanks.
Edward K. Aldag, Jr. : Hi Todd.
Todd Stender – Wells Fargo Securities: Just looking at potential sources of funds, how do you kind of incorporate that into your budget? Are you looking at asset sales and would you consider using preferred equity?
Edward K. Aldag, Jr. : Well, as you know, because you have been with us a very long time, we have, over the years, had selective asset sales. We don't have anything that we are actively marketing, but historically, there always seems to be something that comes up that makes sense for whatever reason, and we do expect some of those on a very selective basis, but nothing in the plans or in the works right now. We certainly have had the ability over our years to access all forms of the capital market, and with our recent upgrade from the credit rating agencies and access to those markets, that means the unsecured debt markets, we feel very good about our ability to continue to access those markets. We have not accessed the preferred stock market to date. We don't need capital right now and when we do, we certainly will continue to look at all aspects of it.
Todd Stender – Wells Fargo Securities: Okay. Thanks, Ed. And just going back to the two development projects, with timing and expected yields you provided, how about obtaining licenses state-by-state? Can you just kind of give us some broad strokes, looking at Indiana and Texas and how far long the operators are in obtaining licenses, just some of the requirements around that?
Edward K. Aldag, Jr. : Just what happens is, those two particular states are very workable states, Texas probably being the most workable. That won't be an issue at all in the construction and completion timing standpoint.
Todd Stender – Wells Fargo Securities: And the same goes for Indiana?
Edward K. Aldag, Jr. : Yes.
Todd Stender – Wells Fargo Securities: Okay. Thanks guys.
Operator: Thank you for question. We have one further question from the line of Tayo Okusanya. Please go ahead, you are in the call.
Tayo Okusanya – Jefferies: Hi, just kind of going back to this guidance question again, the 2013 $1.06 number, if you were to exclude the $200 million of acquisitions for fourth quarter, which is kind of a new thing that you have announced, and I was to – what would that number be compared to that $0.93 to $0.97 guidance you guys kind of gave before for 2012 on a run rate basis?
Edward K. Aldag, Jr. : It's not actually a new number, Tayo. All we have done is identified the timing we said from the beginning of the year, actually late in 2011. (inaudible) and then I said it again once we did the Ernest transaction, we still expected that we would do $300 million of acquisitions for the remaining portion of 2012. So, all we have done is to update you further on the timing of that, and that the $100 million we think is eminent and the $200 million will be done by the fourth quarter.
Steven Hamner : And Tayo, we can't, off the top of our head, give you the difference in the $1.06, but Charles will be happy to walk you through that on another call.
Charles Lambert: Yes, exactly. And I think it would definitely be helpful to all of us in the investment community if there could be some type of reconciliation done between the old number and the new number. So, we will just kind of get a sense of exactly what's changed, because it does sound like there's a lot of confusion around it.
Tayo Okusanya – Jefferies: Also, in regards to River Oaks, just curious, the North Campus, is that still under redevelopment at this point?
Edward K. Aldag, Jr. : It’s the only campus we have left, Tayo. We sold South Campus years ago.
Tayo Okusanya – Jefferies: Right. You just moved to the, and you just had a tenant move in, that’s taken up 30% of the space you said. Is the building itself physically completed?
Edward K. Aldag, Jr. : No, no. I said we have signed the lease. They haven’t moved in yet.
Tayo Okusanya – Jefferies: All right. Okay, and when is the completion date again for the building?
Edward K. Aldag, Jr. : The total completion, we are probably looking at Q1 of '13.
Tayo Okusanya – Jefferies: Q1 of ’13. Okay. That help me understand that. Okay. Thank you.
Operator: Thank you for your question. And we have a further question from the line of Daniel Bernstein of Stifel Nicolaus. Please go ahead, Daniel.
Daniel Bernstein – Stifel Nicolaus: On the development you are doing with Ernest, are there other development projects that you are looking at? I guess Ernest does both LTACHs and IRFs, and so, are you looking at maybe doing development for both property types?
Edward K. Aldag, Jr. : Dan, I am sure you know there is still the moratorium on the LTACHs right now. So, right now, what we are doing with them is the IRFs and they do have additional projects planned as we stated when we bought that portfolio that we expected to grow with them that there was a lot of pent-up demand, because they had – they had not had access to capital for the past few years. So, there are a number of properties that we expect to be doing with them in the near future, and at the appropriate time, we will announce when those are.
Daniel Bernstein – Stifel Nicolaus: Okay. That’s all I have. Thank you.
Operator: Thank you very much. There is no further questions for you.
Edward K. Aldag, Jr. : Okay. With that, thank you all very much. If you have any questions about the guidance, please don't hesitate to call Steve or Charles or myself, and we will walk you through it. Thank you.